Operator: Good day, and thank you for standing by. Welcome to the Crane NXT Second Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to hand it over to your first speaker today, Matt Roache, Vice President of Investor Relations. Please go ahead.
Matt Roache: Thank you, operator, and good morning, everyone. I want to welcome you all to the second quarter 2025 earnings call for Crane NXT. Before we begin, let me remind you that the slides we will reference during this presentation can be accessed via the Investor Relations section of our website at cranenxt.com, and a replay of today's call will also be available on our website. Before we discuss our results, I encourage all participants to review the legal notice on Slide 2, which explains the risks of forward- looking statements and the use of non-GAAP financial measures. Additionally, we refer you to the cautionary language at the bottom of our earnings release and our Form 10-K and subsequent filings pertaining to forward-looking statements. During the call, we'll also be using non-GAAP financial measures, which are reconciled to the comparable GAAP measures in the tables at the end of our press release and accompanying slide presentation, both of which are available on our website in the Investor Relations section. With me today are Aaron Saak, our President and Chief Executive Officer; and Christina Cristiano, our Senior Vice President and Chief Financial Officer. On our call this morning, we'll discuss our second quarter highlights, our financial and operational performance and our 2025 financial guidance. After our prepared remarks, we'll open up the call to analysts for questions. With that, I'll turn the call over to Aaron.
Aaron W. Saak: Thank you, Matt, and good morning. I appreciate everyone joining today's call to review our second quarter results. I'd like to start by recognizing our NXT team members around the world for their continued dedication and for delivering another quarter of strong execution. As shown in the highlights on Slide 3. Our second quarter performance was in line with our expectations, with sales growth of approximately 9% year-over-year and adjusted EPS of $0.97. We achieved 120% free cash flow conversion in the quarter, reflecting continued operating discipline. In Q2, we continued to build momentum in our strategic growth areas. Our currency business delivered another standout quarter, again, achieving a record high backlog. We also recently introduced new innovative products in our Authentication and CPI businesses which position us well for future growth. In Authentication, we launched Fortress an advanced proprietary security feature that can be applied to a product surface or label to authenticate the product in real time and to trace the origin of the product to the point of manufacturing. This product was introduced to a major customer and has a strong pipeline for additional applications. And at CPI, we launched several next-generation products that will enhance our leadership position using advanced imaging and detection technology. This includes the new JetScan Ultra, a high-speed currency scanner that provides counterfeit detection for the banking, gaming and retail markets. Since the close of the De La Rue Authentication acquisition on May 1, we have made significant progress integrating this business with OpSec to form the new Crane Authentications. I'll provide more detail about our actions in this area in a few moments. We continue to have a strong balance sheet with ample capacity for additional M&A. Given the strength and activity in our M&A pipeline, I am confident we will have another transaction to announce within the next year. Finally, we continue to navigate tariff and macro uncertainties and are mitigating these impacts through a variety of pricing and supply chain actions. Given these initiatives, we remain confident in our outlook and are reaffirming our full year EPS guidance in the range of $4 to $4.30. Now turning to Slide 4. I want to take a moment to review our strategy of building a leading industrial technology company focused on solutions that secure, detect and authenticate. Ultimately, what we do here at Crane NXT is focused on providing confidence to our customers and their consumers that the products they buy and the way they buy them are authentic and secure. Over the past quarter, we've integrated De La Rue Authentication and OpSec to form Crane Authentication. With this business, we have created a leading position in the authentication market. And a key to our success is utilizing the Crane Business System or CBS, to drive operational improvements in both our existing businesses and those we acquire. And so with this in mind, I'd like to move to Slide 5 to discuss the actions we've taken over the last 100 days since closing the De La Rue acquisition. As shown on the left side of this page, we now have a market-leading portfolio focused in 3 areas: first, brand authentication, where we sell advanced security technology for labels, track and trace software and provide additional online services to the world's leading brands to protect them and their consumers from counterfeiting. Second, government solutions, where we work with governments to ensure collection of tax revenue and authentication of products. And finally, identification security, where we design and manufacture ID documents for governments incorporating new security features to prevent counterfeiting. Over the past 100 days, we hit the ground running, deploying the Crane Business System to integrate the business and achieve our planned synergies. These actions include utilizing the 80/20 process to rationalize product offerings, consolidating our site footprint, leveraging scale to drive supply chain savings, integrating the organization to simplify and reduce the cost structure and implementing improved pricing processes. I would like to thank the entire Crane Authentication team for their hard work during the past quarter. Thanks to their efforts, we are now anticipating accelerated realization of operating synergies, which will lead to operating profit margins of approximately 20% as we exit 2026 ahead of our original expectations. So with that, let me now hand the call over to Christina to review our second quarter performance in more detail.
Christina Cristiano: Thank you, Aaron, and good morning, everyone. I would also like to start by saying thank you to our associates around the world. We appreciate your hard work. Starting on Slide 6. We delivered second quarter results that were in line with our expectations. Sales increased approximately 9% year-over-year, driven by acquisitions and strong performance in international currency. Core sales declined approximately 1%, reflecting the anticipated lower volume in CPI. Adjusted segment operating profit margin of approximately 24% was down approximately 350 basis points year-over-year driven by the lower CPI volume and the expected impact of dilution from acquisitions. Free cash flow conversion was approximately 120% in the quarter, and we continue to expect the full year conversion to be in a range of approximately 90% to 110%. We Finally, we delivered adjusted EPS of $0.97. Moving to our segments and starting with CPI on Slide 7. Core sales were down approximately 7% year-over-year, outperforming our expectations driven by timing of shipments. Adjusted operating margin decreased approximately 300 basis points year-over-year, reflecting the lower volume and unfavorable product mix, partially offset by productivity gains. We expect margin accretion in the second half of the year, driven by improved product mix from gaming sales growth as well as productivity programs and disciplined cost management. These factors will result in CPI's full year operating margin to be between 29% and 30%. CPI ended the quarter with a backlog of approximately $144 million. Most notably, gaming orders were up approximately 10% sequentially and up by approximately 30% year-over-year. Our gaming OEM customers are at normal inventory levels, and we expect gaming to have a strong double-digit growth in the third quarter. Turning to security and authentication technologies on Slide 8. In the second quarter, sales grew approximately 32% year-over-year, including acquisitions. Core sales increased approximately 9% year-over-year driven by higher international currency volumes. As a reminder, our U.S. currency business resumed production in Q2 after successfully completing the technology upgrades that will support the new currency series, which we expect to begin release in 2026. This was a significant milestone, and we are very proud of the accomplishments of our team. As Aaron noted, our international currency business continues to perform well with a new record high backlog of approximately $400 million in the second quarter. We continue to expect mid-single-digit growth for the full year despite the tough comparison to a strong second half of 2024. Finally, adjusted operating margin of approximately 21% reflects acquisition dilution as expected. Moving to our balance sheet on Slide 9. Net leverage at the end of the second quarter was approximately 2.6x, reflecting the term loan used to fund the De La Rue Authentication acquisition. Importantly, our strong free cash flow generation will enable us to continue to invest in organic growth while also paying down debt. We expect to end the year with net leverage of approximately 2x, which provides flexibility for additional M&A. Moving now to Slide 10. We are reaffirming our full year guidance. We continue to expect SAT sales growth to be between 19% and 21%, including approximately $80 million to $90 million of De La Rue sales in 2025. We expect CPI full year sales growth to be between negative 2% and flat. Adjusted segment operating margin is anticipated to be in the range of 25.5% and 26.5%, reflecting dilution from De La Rue, offset by our continued strong focus on pricing and productivity. Finally, we are maintaining adjusted EPS in the range of $4 to $4.30. Now I'll turn it back to Aaron for his closing remarks.
Aaron W. Saak: Thanks, Christina . Moving to our final slide, I want to highlight a few key points. First, we continue to drive strong operational execution. Our Q2 performance was in line with expectations, and we are utilizing CBS to drive productivity initiatives throughout the company. This includes accelerating the realization of synergies with the integration of Crane Authentication and continuing to drive high free cash flow conversion. Additionally, we continue to build momentum in our strategic growth areas, led by our technology leadership. In Q2, we achieved another record high backlog in our international currency business, providing confidence in our full year sales outlook and giving us strong momentum heading into 2026. Also, as Christina mentioned, the U.S. currency redesign program continues to be on track for a 2026 launch. We are also launching new products across the portfolio, extending our technology leadership position. These include the new Fortress product in Authentication and the JetScan Ultra in CPI. And finally, our M&A funnel is active, and our strong balance sheet gives us ample capacity to continue building our portfolio of differentiated technology solutions, delivering long-term value for our shareholders. So thank you again for your time this morning, and I'd also like to thank our dedicated team around the world for their commitment to our customers, our communities and all of our stakeholders. And with that, operator, we're ready to take our first question.
Operator: [Operator Instructions] Our first question will come from the line of Matt Summerville from D.A. Davidson.
Matt J. Summerville: A couple of questions. First, you gave some really helpful color on orders and demand with respect to gaming. Can you go through sort of a similar analysis of the other main CPI verticals? And then maybe comment around how your level of conviction that you can see CPI returned to a sustained positive organic trajectory? And then I have a follow-up.
Aaron W. Saak: Sure. Matt, thanks for the question. Well, for CPI, I'm very encouraged by where we're at now in gaming. We know this end market continues to remain healthy, the casino and gaming end market, and we feel very confident in our #1 market position as well. And now we're in the position where the inventory, our inventory at our OEMs has normalized. And we talked about that coming out of the last few quarters, we expected this pivot as we got to the second half of the year, and we're seeing it. So we have high confidence here based on the order book and the outlook that we're going to see strong double-digit growth in the second half of the year in gaming, and that's playing out just as we expected. So to go to the other verticals, I think in total, they're playing out largely as we expected and really as we talked about last quarter. So vending, as you know, we talked about headwinds really from the China tariffs, slowing some orders. We discussed that in Q1, leading to some headwinds in sales that we see there for the back half of the year. Retail, some positivity, particularly with custom self-checkout. And I think it's a mixed bag a little bit among the OEMs, and you could see that in some results earlier this week. And then financial services, playing out in line with expectations. I think what's really encouraging here to CPI to get to your second part of your question about the long-term outlook, is this is a business always in a #1 or #2 market position and technology differentiation and leadership is it's key, and we're now in the process of launching new products. And we talked about that in some of the prepared remarks. So I feel very good about where we're at with CPI. You can see the corner turned. And I think long term, we look at this as a low single-digit growth business going into 2026.
Matt J. Summerville: And then as a follow-up, Can you maybe talk a little bit about how we should be thinking about the back half cadence in terms of revenue and earnings between Q3 and Q4, if there's anything you would want to call out there? And then you referenced on the slides and in your prepared remarks, Aaron, you see -- well, I was call it the authentication-related division inside of SAT generating the 20% OP margin. What would that equate to in terms of incremental EPS accretion in '26 versus '25 in the acquired businesses.
Aaron W. Saak: Yes. Thanks, Matt. Why don't I let Christina take the first 1 on the phasing in the back half of the year, and I'll take the authentication question.
Christina Cristiano: Yes. Great. It's worth repeating that we expect full year sales growth of 6% to 8% in the SAT segment with segment operating margin of approximately -- excuse me, 6% to 8% overall with segment operating margin of approximately 25.5% to 26.5%, which is unchanged from our previous guidance. So in terms of the phasing, we'll expect a slight step-up in core revenue in Q3, driven by CPI and also a full quarter of DLR in our SAT results, so in our nonorganic results. And we'll also have higher segment operating profit, driven by the pricing and productivity actions that Aaron mentioned as well as cost reduction measures and continued operating discipline. In terms of the phasing between Q3 and Q4, the phasing of both revenue and OP will be slightly more weighted to Q4. And so based on our outlook, again, we have confidence in the full year guidance range and the expected sales growth of 6% to 8%.
Aaron W. Saak: Yes. Thanks, Christina. I'd just add, again, think of revenue and OP as Christina said, 1% to 2% kind of weighted to the back half to the fourth quarter versus the third quarter. And to your question on authentication, Matt, I think the work here by the teams have been fantastic deploying CBS very quickly. We're 100 days basically into the acquisition of Da La Rue and integrating that with OpSec. So I'm very encouraged by the speed of that execution. And that's where we have line of sight based on the actions we've taken operationally to really exit '26 with an OP margin that's going to be approaching 20%. That's a very nice step-up from where we're going to end this year, which will be in the low teens. And again, that's based on our business case and our execution of our synergy profile. So in terms of what that means for accretion in 2026, I think that's too early to say. We'll make that part of the 2026 guidance, which we'll do in the first part of the year.
Operator: Our next question will come from the line of Damian Karas from UBS.
Damian Mark Karas: I wanted to ask you about your SAT guidance, holding the sales growth for the year unchanged, despite a really nice solid second quarter. If I'm just accounting for the De La Rue deal and FX, it seems like you're implying kind of like a mid-single-digit year-over- year decline in the back half and a pretty notable step down from the second quarter. So could you just help us understand why maybe you're a little bit less optimistic on -- in the second half of the year for SAT?
Aaron W. Saak: Yes. Thanks, Damian. We'll have to go through kind of that -- the sequential numbers you cited there. But I think the overall takeaway that you started with is right. We really have had excellent performance particularly in the international currency business, both in new orders and then a strong Q2, which was really some projects, as you know, very project-focused business when central banks want their shipment of their currency and that came into Q2. So that's where we're not making a change to the full year. We're just seeing that movement into Q2 and out of part of the second half. So it's really a balance, and that's really often driven by our customers and their timing and their request dates. But also, just for context, with the international shipments in Q2 being up, put some stress on the mix of the SAT margins. So for the full year, we still fully expect SAT margins for the segment to be in the range of around 21%. But I think overall, I'm very, very encouraged by this performance in currency overall and particularly with the U.S. program being on track. So the particulars of the phasing, I think we can do the math on that, but there's really no change to our outlook, just a little bit of timing.
Damian Mark Karas: Okay. Got it. And then this is the first time I'm hearing about Fortress. Aaron, I was wondering if you could maybe just tell us a little bit more about that this customer win and what specifically Fortress is, what service is providing them. And I'd love to hear kind of like the other relevant applications you alluded to.
Aaron W. Saak: Yes. No, I appreciate that. So Fortress came into the portfolio as actually part of the De La Rue acquisition. And it was part of why we were very excited about the technology that they're bringing in. And at the same time, it was just recently launched. So it is new into the market with this first customer. It is fundamentally a materials technology that's applied to the surface of either a label or the product that has a unique identifier that when you take a picture of it with a smartphone camera and use our proprietary app, you can identify the product all the way back to the point of origin and manufacturing or when the marker was applied. So the beauty here, Damian, is it gives providence all the way back, let's say, to the manufacturing line of the product in a very simple, easy-to-use way. for either a consumer or in most cases, it's the person buying the product, a B2B type customer. So fundamentally, it's a core technology based on materials. It's simple to use. And you can see it as kind of part of this good, better, best technology portfolio we're providing, this would really be at the high end of our authentication type applications. So in terms of pipeline, given what it is, it can be applied to a whole host of end markets, it's more -- it can be applied to any label or any product service. So I think food and beverage think consumer goods, and we've just rolled it out to a very large customer in one of our emerging markets and pretty excited about the pipeline for it as well. Happy to show it to you one day too, Damian, when we meet you in person.
Operator: One moment for our next question. The next question will come from the line of Mike Halloran from Baird.
Michael J. Pesendorfer: You got on Pez, on for Mike. Just hoping you could help a little bit with the margin phasing in the back half. It feels like a pretty meaningful swing, Aaron, I know you mentioned the stress of the margin from the international shipments that came in, in 2Q. But can you help us a little bit maybe with the puts and takes, specifically to the margins in the back half?
Aaron W. Saak: Yes. Why don't I start, and I'll pass it over to Christina. Maybe I'll take CPI because I think it's the two segments independently. In CPI, we had a really nice quarter and top line sales. A lot of that came from vending, where we had customers that placed orders and we had a book and ship in the quarter, getting ahead of our price increase for the tariffs. Vending is at a lower margin profile than the rest of the business. So that created some compression, some stress on the margins. With what we see happening in gaming and obviously that moving -- that vending moving out of the, let's say, third quarter into the second, you're going to see a natural accretion in margins along with the other pricing actions we've taken in productivity. So pretty high conviction there, pads and line of sight. -- to our CPI margins on a full year basis to end the year between 29% and 30%. So Christina, I'll pass it to you for...
Christina Cristiano: And just bridging the gap to SAT. So we expect SAT margins to be in the low 20s percent for the full year, as Aaron said, in terms of currency, continued strong performance driven by international, and the year was pretty evenly weighted. It will be slightly more weighted towards the second half. in terms of margin, as Aaron said, we had a little bit of unfavorable mix coming through in the quarter that will kind of resolve itself before the end of the year. As you know, we're seeing dilution from the acquisitions about a few hundred basis points, which was expected. And now with the closing of the De La Rue transaction, as Aaron discussed earlier, we're accelerating the realization of operating synergies. And so that will drive margin accretion in the second half in the Authentication business. There's also some normal seasonality in OpSec where revenue and OP are typically just a little bit more weighted towards the second half. So considering all those factors, we have high confidence that we'll get to that OP margin target of 21% for the full year with a step-up in the second half, driven mostly by the actions that we've already taken in Q2.
Michael J. Pesendorfer: Excellent. That's super helpful, color. I appreciate that. Switching gears a little bit on the M&A front. Obviously, as we continue to work through the Crane Authentication and the integration of the assets, maybe talk a little bit about how some of the vectors of opportunity have changed if at all, and maybe some technologies that are more interesting than they were 2 years ago. And then lastly, maybe just give us a little color on how you view the funnel. I know, Aaron, you said you feel confident about closing a deal in the next 12 months, but maybe more broadly talk about how you feel about the funnel.
Aaron W. Saak: Yes. Thanks, Pez. I'll start with the last part is I feel very optimistic, as I said, and confident that we're going to have another deal in the next year. Just based on the strength of the funnel, the activity we have going on things where we've looked at and continue to prosecute. So it's as healthy as it's ever been for us. in the last 2.5 years. So that feels very good. And as you saw in Christina's remarks, the balance sheet is in very good shape with our free cash flow. So we have sufficient firepower to do exactly what we said we were going to do. I think the key here, and maybe to the first part of your question is we want to continue to apply the same framework, right? This is a hallmark has got to be disciplined M&A that's focused on a very clear framework that we put out that I think will serve us well. So we don't want that to change. And that's around assessing the market, first of all, and looking at technology leadership positions. And to your point, with the new acquisitions that we now have with Authentication, that opens up new near adjacencies to us around extending our brand authentication portfolio. ID verification now is a one-step adjacency we couldn't have said 2 years ago when we started the company. So I think there is a broader adjacency set that's fueling our funnel. And then we look at these companies, right? That's step 2 to make sure they have wide moats that have defensible IP, and we could be better or very good owners of those companies. And then third, the criteria is around value creation. We've got to find a path that we can always apply CBS and synergies to generate very good returns. So we're going to continue to be prudent, opportunistic as we see targets emerge and keep on this very clear framework that we've established that I think is going to serve us well and be consistent in this approach.
Operator: Our next question will come from the line of Bob Labick from CJS Securities.
Robert James Labick: I wanted to start with Crane Authentication. Now with De La Rue closed, you've very rapidly built this segment up to scale. And could you talk about the core drivers for this business going forward and maybe break it down between the physical security and tags and then the online security and brand management and digital sales as well? And what drives each of those, the physical and the kind of online digital sales for authentication?
Aaron W. Saak: Yes. Well, thanks, Bob. I agree with you here that I'm excited by the leadership position we've created and the scale really by integrating these two together and adding in, again, our core technology that came over from the currency business in micro-optics. And it's been a very busy 100 days. since the close. And I've had an opportunity in that time, too, to go around to most of the De La Rue major sites visit the team, meet with customers, and it's really been fantastic. I think we -- we've done a very good job in the launch of a new Crane Authentication brand. To get a little more precise on your question, I would really think about the business as we showed on those slides in these three buckets. One is around brand authentication, which is a combination of physical and track and trace software, that grows not only with the growth of the market of branded goods, which is depending on the brand, call it, a mid-single digit to high single-digit grower, but also on the fact brands continue to ask for more authentication solutions. So you have this ability to be a really strong single-digit growth market in brand. We're seeing a mid-single-digit plus growth in the brand market. When you get to the government section that we talked about, government solutions, that's really primarily tax stamps for governments. And there, it's really about expansion to not only new products within the governments that we already sell to but also new governments that want to increase their tax revenues. So again, I think a very solid, consistent mid-single-digit grower and a lot of synergies there commercially with our currency business because we're a trusted partner already to the central banks. And you see that and you feel that playing out under the SAT segment and some of the work Sam Keayes is doing. And then finally, government ID, that's a new segment for us. Back to one of the questions from Pez right before you. Now we have an ID portfolio that presents opportunities to add more sophisticated technology, upsell technology just like we do in the currency business, it provides more adjacencies for both organic and inorganic expansion. So again, I see that as a lot of nice tailwinds for the business. So that's how I'm thinking about it. We're thinking about it, Bob, in these three segments. And again, that's also where organic investment and M&A could play.
Robert James Labick: Okay. Great. And then shifting gears a little to the 2026 -- yearly currency order outlook and timing. There's a lot of numbers out there. There's the budget, then there's the currency order itself, which is going to be wide enough to drive a truck through. And then ultimately, the final order will come out at some point later, and we'll find out the real number. So my question is, can you give us a sense for your expectations towards this. I guess we'll learn the next thing maybe September, October, but give us a sense what you're working towards in calendar '26 in terms of U.S. volumes and how we should think about it?
Aaron W. Saak: Yes. Thanks, Bob. So first on the timing, I think you're right. There will be somewhere September, October time frame, we don't know precisely. We'll find that out when the Fed publishes it. In terms of the outlook, what we're thinking for our base case is volume is probably in the same range as we've been in this year. The key thing we want to look at is mix. That's really the big driver for our business. And so that's what we're going to have our eyes on is that mix between, call it, the $1 bill and the $100 bill in the varieties, denominations in between. So again, we'll know in the next 60, 90 days where that sits. Mix will be the key for us. And maybe, Christina, if you want to add just about the U.S. currency redesign program, where that sits or any more color on that?
Christina Cristiano: Yes. I mean, we're super excited about the launch, which we're expecting to start next year. And as you know, we resumed production in our U.S. currency paper making processes in the second quarter, which was very successful and a very significant milestone for our team. So I'll take the opportunity to say congrats to our currency team on a job well done. So we're feeling really excited about the trajectory of currency.
Operator: Our next question will come from the line of Bobby Brooks from Northland Capital Markets.
Robert Brooks: Aaron and Christina, now that you've had De La Rue under your ownership for about 100 days now and you're on your way to applying or already on your way of applying CBS and even mentioned accelerating those actions. I was just curious to hear maybe some actions that you've already taken or plan to take to elevate the margins there? Or maybe where you see the most opportunity for enhancements.
Aaron W. Saak: Yes. Thanks, Bobby. So yes, it's 100 days, and we're not on our way to apply, and we were ready to go on day 1, and they're well in flight. As a reminder, when you looked at the entire two deals of form Crane Authentication, we targeted about $16 million combined in run rate synergies. We typically target that by year 3 to achieve those as we apply them. And most of those, the vast majority are operational synergies. So to answer your question, those come out of simplification of the cost structure, so putting together sales, marketing, the management teams of the companies, there's a natural cost structure reduction from doing that. So that has been executed to a large extent. There's also rooftop consolidation, and that's in -- some has been executed, some is coming, and we've indicated that to the teams in respective lease holders. And then also, you get into synergies around product rationalization. So this is trying to take the best that was Crane, the best that was OpSec and De La Rue creating a portfolio that simplified and still has options for customers at different price points. So that also allows for some cost structure rationalization as well. So those are three examples, all of which are being done, all of which fall under our mantra of deploying CBS. Kaizens, different kinds of productivity initiatives, the application of 80/20 to the product lines, all of these tools in the toolkit are getting deployed in real time. And again, high confidence then because we've deployed and taken those actions that you're going to continue to see the margin increasing in the Authentication business steadily through the rest of '25 and into '26 exiting next year with a business that's right at about 20% OP.
Robert Brooks: That's super helpful color. And kind of jump into the authentication. So there was a Wall Street Journal article out about a month ago that detailed the rising trend of super fake luxury handbag and the stat that really stuck out to me was that LVMH spent about $11 billion on advertising last year, but that compared to only $45 million in counter -- anti-counterfeit efforts. So as it pertains to you guys with those stats in mind, my logic leads me to believe that, one that valids that product authentication is really in its infancy stage and two, that there is a pretty sizable opportunity for SAT. Do you feel like my logic here is fair? And maybe just any additional comments you'd add or any detail you could disclose about how the team is pursuing the broader opportunity for product authentications in luxury goods.
Aaron W. Saak: Thanks, Bobby. I mean, I think that logic is incredibly sound. In fact, that's the entire strategic pillars that this business is standing on because we see the same thing. And exactly to your point. You see it reported about I believe the gap here that we always talk about is it takes these brands maybe surprisingly, given the numbers like you just quoted, longer to adopt the technology and to implement it than maybe we would all like, but we know the trajectory that this is headed on because counterfeitting is not getting better and the sophistication of the counterfeiters is only increasing and we occupy the high ground as the leading technology provider in this space. So that's put it into another one of our customers' analogies. That's where the ball is headed, where the puck is headed. We know it's going there. We just -- it's we're waiting and driving it with those brands to bring up the issues you're seeing and actively working with those customers to adopt different features, whether that's embedded, whether that's, call it, covert over. But you're exactly correct, Bobby. That's where this market is going.
Operator: Our next question will come from the line of Ian Zaffino from Oppenheimer.
Isaac Arthur Sellhausen: This is Isaac Sellhausen, on for Ian. I just had 1 question on international currency. I know you're limited on what you can say on customers and activity. But maybe if you could help us understand what's driving growth on the international side in terms of mix and volume, if you're seeing higher denominations and then it's just overall trends around uptake on micro-optics.
Christina Cristiano: Yes. Great. Thanks, Isaac. So we have very high confidence in our full year sales guidance, particularly related to international currency. And some important data points. So it's just looking at our core backlog, which is up almost 20% year-over-year, and we expect about 60% of that will deliver in 2025. And we expect our backlog to stay in the range of above approximately $300 million for the rest of the year based on our strong orders funnel. So what's driving that? It's our differentiated technology. We believe we're the world's leading provider of technology, and we continue to win in the market. This quarter, the growth in the backlog was primarily related to recurring revenue, as we call it, order -- existing customers that continue to order from us because they trust us to provide the world's leading technology. But we have a pipeline to expect 10 to 15 micro-optic wins with new customers for the full year, and we have high confidence that we're going to achieve that target. So we're super excited about the trajectory, as I said earlier, and the pipeline is very rich for opportunities for the rest of the year.
Operator: [Operator Instructions] I'm not showing any further questions in the queue. I would now like to turn it back over to Aaron Saak for any closing remarks.
Aaron W. Saak: All right. Thank you, operator. Well, I think you can see from what we provided in the last day that our Q2 was another strong quarter of execution and performance for the Crane NXT team. And I again would like to thank all of our associates around the world for their hard work and dedication to the company. I remain confident in our future as we continue to build and grow this company, the leader in technology that secures, detects and authenticates. So thank you again for all the questions this morning. Thank you to everyone who joined us, and we hope you have a great day, and we'll see you next quarter.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.